Operator: Good afternoon, ladies and gentlemen, and welcome to Richelieu Hardware Fourth Quarter Results Conference Call. [Operator Instructions] Note that this call is being recorded on January 15, 2026. [Foreign Language]
Richard Lord: Thank you. Good afternoon, ladies and gentlemen, and welcome to Richelieu's conference call for the fourth quarter and the year ended November 30, 2025. With me is Antoine Auclair, CFO and COO. As usual, note that some of today's issue include forward-looking information, which is provided with the usual disclaimer as reported in our financial filings. Overall, we delivered a strong fourth quarter with good progress in our main market segments. We also closed 3 new acquisitions during the year, building on the 6 acquisitions completed earlier in the fiscal, 2 in Canada and 4 in the U.S. For the quarter, sales increased by 7.3% to $511 million. EBITDA increased by 9.1%, diluted earnings per share increased by 4.5% and cash flow from operations reached $68.7 million, including a $30 million reduction in inventory. These results highlight the strength of our model and our operating discipline. The fourth quarter was active on the acquisition front. We closed Ideal Security in September, Finmac Lumber and Klassen Bronze in October. Ideal Security located in the Greater Montreal area, distribute specialized hardware products for doors and window market and serves hardware retailers and renovation superstores market as well as online retail platform. Finmac Lumber is a specialized wood product distributor based in Winnipeg serving Western Canada. Klassen Bronze based in Ontario, strengthens our offering with a wide range of letter, number, sign and mailboxes, key blanks and key cutting machines for the hardware retailers and renovation superstores market. We are very pleased with this acquisition, particularly with Ideal and Klassen, which expand our Richelieu portfolio of private brands for the retailers and renovation superstores market to 10. These acquisitions reinforce our position in this key market segment and support our one-stop shop strategy, supported by our distribution centers in Calgary for Western Canada customers, Kitchener for Eastern Canada and Chicago for the U.S. market. Private brands and exclusive products remain an important differentiator for Richelieu. A significant proportion of our sales is generated through these offerings. Which support customer satisfaction and loyalty, while reinforcing our competitive positioning and margin profile. The strong fourth quarter drove total sales for the year to $1.96 billion, up 7.2%. EBITDA for the year increased by 6.2% and cash flow from operations reached $202 million. We closed the year with a positive cash position almost no debt and a working capital of $622 million, which means a solid and healthy financial position and an outstanding balance sheet. I will now ask Antoine to review the financial highlights for the quarter and the year ended November 30, 2025.
Antoine Auclair: Thanks, Richard. Our fourth quarter sales reached $511 million, up 7.3%. Sales to manufacturers stood at $459.9 million, up 9.1% with 5.9% from internal growth and 3.2% from acquisitions. In the hardware retailers and renovation superstores market, sales were down 6.4%. In Canada, sales amounted to $282 million, up $6.8 million or 2.5%. Sales to manufacturers reached $241 million, an increase of 4.6%. In the retailers market, total sales totaled $41 million, down 10.7% this quarter, mainly due to timing differences. On a year-to-date basis, sales are in line with last year. In the U.S. sales totaled USD 164 million, up 12.3%. Sales to manufacturers reached USD 157 million, up 12.9%, including 8.8% internal growth, mainly driven by price increases. In the retailers market, sales were up 1.4%. Total sales in the U.S. reached CAD 229 million, an increase of 13.9%, representing 45% of total sales. Total sales for 2025 reached $1.96 billion, an increase of 7.2%, of which 3.2% from acquisition and 4% from internal growth. Sales to manufacturers reached $1.7 billion, up 8%, of which 4.4% from internal growth and 3.6% from acquisitions. Sales to hardware retailers grew by 1.6%. In Canada, sales totaled $1.1 billion, up 2.2%, primarily driven by acquisitions. Sales to manufacturers amounted to $897 million, up 2.8%. Sales to hardware retailers and renovation superstores were $175 million, essentially flat compared with last year. In the U.S., sales amounted to USD 638 million up 10.9%, of which 5% from internal growth and 5.9% from acquisitions. They reached CAD 892 million, up 13.9%, accounting for 45% of total sales. Sales to manufacturers reached USD 604 million, an increase of 11.1% and sales to hardware retailers were up by 7.8%. Fourth quarter EBITDA amounted to $59.2 million compared to $54.3 million in the fourth quarter of 2024, up 9.1%. Our gross margin remained stable, and the EBITDA margin stood at 11.6% compared to 11.4% in the same period last year. Fourth quarter net earnings attributable to shareholders totaled $25.6 million compared with $24.4 million last year. Diluted net earnings per share were $0.46 compared with $0.44 last year, an increase of 4.5%. For the year, net earnings reached $86 million or $1.55 per diluted share compared with $1.53 last year, an increase of 1.3%. Fourth quarter adjusted cash flow from operating activities were $48.3 million or $0.87 per share. Net change in noncash working capital balances represented a cash inflow of $20.4 million driven by a $30.1 million reduction in inventories. Consequently, we generated $68.7 million in cash flow from operating activities compared with $27.2 million in the fourth quarter of 2024. For the year, operating activities generated a cash inflow of $202.4 million compared with $133.6 million last year. Over the year, we paid $34 million in dividend, representing a payout ratio of 37.5%. We also repurchased common share for $16 million, including $13 million in the fourth quarter. In total, we returned $50 million to shareholders this year. Investing activities used cash flow of $62 million, including $47.1 million for 9 business acquisition completed this fiscal year. And $15.2 million primarily for the purchase of equipment aimed at maintaining and improving operational efficiency. I now turn it over to Richard.
Richard Lord: Thank you, Antoine. I am proud to note that over the past 13 months, we completed 10 acquisitions in Canada and in the U.S., representing approximately $100 million in additional sales. And our most recent acquisition completed after the year-end, would bring the total to 100 acquisitions so far that Richelieu has made in its complete history. Especially, this most recent acquisition includes 3 McKillican American distribution centers located in Portland, Oregon, Seattle and Spokane, Washington. These centers are already integrated into our IT system and the Seattle operations have already been moved to our current Seattle distribution center. This transaction reinforces our distribution network enhances local expertise and expands our product and service offering to better serve our customers. As a result, we now operate 5 locations across the Pacific Northwest region. In the current environment, our business model continues to demonstrate its resilience and flexibility enabling us to respond with agility to our customer needs and protect our margins. Looking ahead, our 2 primary growth drivers, innovation and acquisition position us well for continued profitable growth and further consolidate our leadership in North America. We are committed to ongoing investment in innovation to strengthen our offering and value-added services and we actively pursue acquisition opportunities. Thanks, everyone. We'll now be happy to answer your questions.
Operator: [Operator Instructions] The first question will be from Hamir Patel at CIBC Capital Markets.
Hamir Patel: Richard, could you comment on the sort of organic growth rates you've seen in Q1 so far? And any notable differences between Canada and the U.S.?
Richard Lord: Yes. What we're seeing in Q1 so far is a flat sales for the hardware to -- sales of hardware to retailers market. And we -- in the mid, I would say, something around 5% regarding the growth for the manufacturers market. So basically, we're satisfied with the start of the year. We don't know what's going to happen in the months to come, but so far, so good.
Edward Friedman: And then when you think about how the U.S. versus Canadian business is going, any differences there? I know last quarter, you were pointing to Ontario being softer?
Richard Lord: We see a bit more growth in the U.S. a couple of percent growth, additional.
Edward Friedman: Antoine, I wanted to ask about the EBITDA margins. It looks like they ticked up to 11.6% in Q4. How should we think about the margin trajectory for Q1 and full year '26?
Antoine Auclair: Yes. The last 2 quarters were positive versus the previous year. So that trend should continue. But keep in mind that usually the first quarter of the year is the lowest of the fiscal year due to seasonality. So -- but we should continue to see improvement in the EBITDA margin. Of course, it all depends on the type of acquisition that we'll be able to land. But same-store sales, we should be able to generate more EBITDA. And having a bit more rigor in the market will definitely help as well.
Hamir Patel: And then thinking on a full year basis, I mean, for the last 2 years, it looks like you've kind of averaged close to 11%. I know you've been quite acquisitive. So that's kind of a short-term drag. But do you think you can drive further margin growth in '26?
Antoine Auclair: Yes, we should be slightly north of 11%.
Operator: Next question will be from Zachary Evershed of National Bank.
Zachary Evershed: Congrats on the quarter. Could you go into a little bit more detail on the pullback that we saw in sales to retailers during the quarter, please?
Richard Lord: I think the flat sales for the retailer, I think it's -- what we see with -- if you read the Home Depot and Lowe's in the U.S., whatever they're forecasting, they're forecasting of flat sales. And in Canada, we see that the market is more to get -- we speak to our customers and the -- their sales are down for the first quarter. So Richelieu is doing well because we keep reducing -- introducing products into the stores. We have new products coming with RONA that are getting into their stores. So that's going to generate sales in the months to come. We have the same thing with the home hardware and Home Depot in Canada. And in the U.S., fortunately, we have regained the business that we had lost with Lowe's. So basically, that's going to -- the delivery will stop or in the end of the second quarter and third quarter. So -- but basically, that will bring another $10 million to $12 million sales in the U.S. So I think we have the only good news for the retailers. It's only a matter of the market being as we speak, flat. But eventually, I think the market is going to start to move again .
Antoine Auclair: And Zach, the main -- the main reason for the Canadian retail sales down in the fourth quarter. And that's why we said that overall, the year is flat, but in the fourth quarter, it's because of one customer that didn't place orders for seasonal sales. So it's not a big deal, so it's only a timing issue.
Richard Lord: So we remain positive for the retail market.
Zachary Evershed: Got you. And do you think there's a catch-up in Q1 for those seasonal sales or that's just foregone?
Antoine Auclair: No, I would say on a yearly basis, there's a catch-up, but just a question of timing.
Zachary Evershed: Understood. And your inventory reduction this quarter was pretty far ahead of the schedule you'd outlined last quarter. What's driving the improvement in working capital there?
Antoine Auclair: It's pretty much aligned with what we said at the beginning of the year, Zach. So, of course, it's difficult to be perfectly timed during the quarters, but that's what we were expecting. I think I mentioned a year ago that we would be expecting between $20 million and $30 million reduction in inventories, that's what we achieved. We achieved $33 million this year. So that was positive. . Hopefully, we will still -- we will be able to generate a bit more reduction in 2026, not as big as that, but we'll continue to be actively working and improving and optimizing our inventory situation. And also, I I'm glad to see the CapEx that is now down -- come down to a more maintenance level phase of CapEx. So we've had a few big years in terms of CapEx investment. So now we spent $15 million. It's 0.08% of our sales. So that's more in line with the historical data prior to COVID. So we're glad that it's back to normal.
Richard Lord: And as a result, I think in 2026, the cash flow generation is going to be stronger.
Zachary Evershed: Excellent color. What are your customers saying about the pause on the additional tariffs on furniture and cabinets?
Richard Lord: They're very happy, but they already have to live with that first 25% that is already imposed. So basically, I think the -- our Canadian customers that are selling in the U.S. are losing sales as we speak. They're reducing the number of employees and everything else. They still continue to buy from Richelieu, but some buy less, but some buy more because they used to buy from overseas certain products now that they buy from Richelieu. So basically, we should see an clean of the sales to that type of customers. And the second phase, I think safe, I would say, I don't know how to say it, but you really saved the 2026 year, even though they're already negatively affected by the first 25%. But if that second 25% apply next year, I think it's -- it could be very, very basically disasters for the customers that export to the U.S., but we don't have that many customers that export in the U.S., but it's still a substantial business. But we -- as a result of that, we should really capture some business on the U.S. side because the customers that are capturing this market are also your customers in the U.S.
Zachary Evershed: Got you. And then how are you feeling about the M&A pipeline for 2026. You just came off of a year of almost $100 million in 2025, starting off with an acquisition subsequent to the quarter, where do you think you'll end this year?
Antoine Auclair: We'll continue with what we've told you guys 1.5 years ago. So we're still on a $100 million a year. So that's what we're working on. The pipeline is healthy. Both side of the border. So no change there.
Operator: Thank you. And at this time, Mr. Lord, we have no other questions registered. Please proceed.
Richard Lord: Thanks to everyone, for listening. And so if you have any more questions, do not hesitate to call myself or Antoine. We're here in the office. So thank you very much, and have a good afternoon.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we ask that you please disconnect your lines.